Operator: Good morning. My name is Christie, and I will be your conference operator today. At this time, I would like to welcome everyone to the IDEX Corporation First Quarter 2013 Earnings Call. [Operator Instructions] I will now turn today's conference over to Mr. Michael Yates, Vice President and Chief Accounting Officer. Sir, you may begin your conference.
Michael John Yates: Great. Thank you, Christie. Good morning, everyone, and thank you for joining us for our discussion of the IDEX first quarter financial highlights. Last night, we issued a press release outlining our company's financial and operating performance for the 3-month period ending March 31, 2013. The press release, along with the presentation slides to be used during today's webcast, can be accessed on our company's website at www.idexcorp.com. Joining me today from IDEX management are Andy Silvernail, our Chairman and CEO; and Heath Mitts, Vice President and Chief Financial Officer. The format for our call today is as follows: We will begin with Andy providing a summary of the first quarter 2013 financial results. He will then walk you through the operating performance within each of our segments. And finally, we will wrap up with an outlook for the second quarter and full year 2013. Following our prepared remarks, we'll then open the call for your questions. If you should need to exit the call for any reason, you may access a complete replay beginning approximately 2 hours after the call concludes by dialing the toll-free number (855) 859-2056 and entering conference ID number 26072848, or you may simply log on to our company's homepage for the webcast replay. As we begin, a brief reminder. This call may contain certain forward-looking statements that are subject to the Safe Harbor language in today's press release and in IDEX's filings with the Securities and Exchange Commission. With that, I'll now turn this call to our Chairman and CEO, Andy Silvernail.
Andrew K. Silvernail: Thanks, Mike. Good morning, everyone. Thank you for joining us as we review the results for the first quarter. I'd like to start on Slide 5. As you've all seen in our press release, we exceeded expectations for EPS, operating margins and cash flow in the quarter. We also delivered strong double-digit EPS growth. I'm proud of our team's ability to execute in what has continued to be a challenging growth environment. While the global markets have continued to be muddled, our team has executed well across all segments, expanding margins and generating a 28% increase in free cash flows, a record first quarter result. The quarterly fluctuations in markets, regions and customers were demanding for our business units. However, these conditions are expected, appropriately planned for and exceptionally well addressed. In general, things are playing out as we anticipated. The U.S. has shown stability; Europe has continued to struggle; and the Asian markets rebounded from the lows of last year, but they remain choppy, particularly in the emerging regions. In the fourth quarter, I mentioned how IDEX had positioned itself to realize EPS and margin growth in spite of a difficult environment. This is largely driven by the benefit of the $20 million of structural cost reductions, which are now propelling the expansion of operating margins, including a 90-basis point improvement in the first quarter alone. This operating margin improvement highlights the strength of our leaders and their commitment to an excellent cost structure, which allows us to compete for customers and generate superior returns for shareholders. As I highlighted last quarter, we're focused on 3 strategic priorities: accelerating organic growth, driving execution for core products and customers and delivering superior capital allocation. In Q1, we began the incremental growth investments we discussed last quarter. We've invested in product management, product development, growing our aftermarket position and expanding our presence in the Middle East and Asia. We've been able to make these investments while expanding margins and improving cash flow because of our focus on execution. In turn, between our balance sheet and strong free cash flow, we have $1.5 billion in capital over the next 3 years that we'll deploy with strategic discipline. We've been clear that we'll balance our capital deployment with consistent dividend growth, strategic acquisitions and share repurchases. In the first quarter, we executed on our priorities. We recently announced a dividend increase of 15%, which is consistent with our intent to return 30% of profits back to our shareholders each year. In March, we announced the acquisition of FTL Specialty Seals. I'll talk about that a little bit later on. And we continue to repurchase shares. Now I'll turn to the first quarter detail. We achieved record first quarter sales of $494 million, up 1% year-over-year and sequentially but down 1% organically. Orders for the quarter totaled $550 million, which are down 3% from prior year due to the large Dispensing replenishment order. Otherwise, orders were up modestly. Despite this tough comparison, we increased backlog by $20 million, and free cash flow increased 28%, an impressive $67 million or $0.81 per share. Operating margins showed excellent results for the quarter across all segments, increasing 90 basis points to 19.2%. This includes an improvement of 50 basis points in Fluid & Metering, 40 basis points in Health & Science and 200 basis points in Fire & Safety/Diversified. I'll discuss these results in more detail in the segments, but this broad-based expansion of margins is outstanding. Additionally, first quarter EPS of $0.74 represents a 12% increase from prior year. We did get a penny of help from the R&D tax credit, but it was a very solid quarter operationally. We're off to a good start in 2013 and are well positioned for 2Q and the remainder of the year. I'm very proud of the team in their ability to push past the current economic environment, drive operational improvements, generate efficiency and accelerate returns. With that, let's move onto the segment discussion. I'm on Slide 6. Let's start with Fluid & Metering. For the quarter, orders were down 3% organically, while organic sales were down 1%. Overall backlog increased $9 million, and operating margins improved 50 basis points. We built backlog at the CFP and Energy platforms, and profit execution was very good throughout the segment. Within our Energy platform, we've seen healthy growth in North America and India and strength across the LPG market, including North America, China, India and Russia. Energy also saw an improvement in gross margin on the impact of productivity and some favorable input costs. Our Chemical, Food & Process platform, or CFP, saw a continued strength in the chemical markets, particularly with project opportunities in the Middle East and Asia and solid aftermarket performance, but we did see some softness globally in the industrial space. Heading into the second quarter, we should benefit from a healthy backlog and some overall improvement in the industrial markets as comparables become easier. Our Ag business, which has a large exposure to the North American market, had another very good quarter in sales and profitability but did see some order softness due to the elongated winter. All indicators suggest this will not be an extended impact, and we expect another very good year from Banjo. Our water services platform, which focuses on municipal services market, saw nice improvements and profitability as our investments in productivity have paid off. Also, while Europe continues to be a challenge, we have seen U.S. market stability. Let's move on to Health & Science. I'm on Slide 7. For the first quarter, HST delivered on our expectations, with 5% sequential order growth and nice margin expansion. Operating margin improved 40 basis points year-over-year and 30 basis points sequentially. As we signaled last quarter, we would have tough sales comps in Q1 from the strong Material Process Technology performance last year and our decision to exit unattractive Optics business. Organic orders were down 2%, and organic sales were down 7%. However, we built $6 million of backlog in the quarter. Scientific Fluidics has shown 2 consecutive quarters of meaningful order and sales growth and continued its performance in Q1. The Asian market is up strongly, while North America and Europe are stable. We expect the overall upward trajectory to continue in this platform. Within Optics & Photonics, we're seeing the benefits of the cost set [ph] actions that we took last year. While both orders and sales are down from prior year as expected, Optics orders are up sequentially. Demand in both U.S. and Europe markets is anticipated to improve, and we will further accelerate targeted customer opportunities and continue to drive productivity within IOP. Within our Material Process Technology platform, this is a long cycle business that had tough sales comps in the first quarter but saw overall order increases. Additionally, the MPT leadership was a very successful driver of productivity, which contributed to gross margin improvement from the prior year. The outlook for MPT is positive, and they have a strengthening sales funnel. Finally, within our specialty seals business, we completed the acquisition of FTL, which will provide an immediate impact. Based in the United Kingdom, FTL is a leader in the design and application of high-integrity rotary seals and specialty bearings. FTL will operate within our Precision Polymer Engineering business and expand the range of PPE's technology expertise while also introducing adjacent markets. All right. I'm on our final segment, Diversified. I'm on Slide 8. For the quarter, organic orders declined 13%, but this was entirely due to the large Dispensing replenishment order from last year that I mentioned earlier. However, looking at sales, we saw a 7% organic growth in the quarter and a 200 basis point expansion in operating margin. Within Dispensing, the X-SMART product, which we introduced in the third quarter of 2012 as an entry-level dispenser, has continued to gain significant traction in the emerging markets and is also well received within developed markets. We expect the X-SMART to supplement the growth of the existing Dispensing portfolio, which is being primarily driven by the strong volume in the Americas and Asia. Our Fire Suppression unit continues to benefit from the penetration in the power markets and growing project funnel in Asia. Europe has continued to ramp down on budget restrictions, but we've rightsized the business for this reality. The Fire Suppression team had done an outstanding job driving productivity. We completed the closure of our [indiscernible] facility, and the team is executing well at our main North America site in [indiscernible] Florida. The Rescue business is experiencing strong orders and sales growth, with similar geographic trends as Fire. The European market remains weak, but the European project business has been consistent, driven by growth in our re-railing product line. Finally, BAND-IT again posted strong orders, sales and gross margin improvement in the first quarter. Sales were particularly strong in North America. And in the fragmented Middle Eastern market, the team is pursuing promising short- and long-term opportunities as they expand into new applications and new geographies. All right. I'm going to wrap up my prepared remarks on the second quarter and the full year 2013 guidance on Slide 9. Q2 organic revenue will be approximately 2% to 3% up in the second quarter, which aligns with our expectations heading into the year. Acquisitions will have a positive 3% impact on Q2 year-over-year. For the full year, we maintain EPS guidance of $2.85 to $2.95, with organic revenue growth of low- to mid-single digits. Full year operating margin is expected to be about 19%. Also, some other modeling items to consider. Tax rate is anticipated to be 29% to 29.5%, full year CapEx will be roughly $40 million, and free cash flow will significantly exceed net income. Finally, our earnings exclude acquisitions and the cost or charges associated with future acquisitions. In summary, IDEX started 2013 with strong results. Our team has done a terrific job of leading and getting it done in the face of continued global economic turmoil. We will stay focused on our strategic priorities, disciplined in our execution and committed to outstanding results. With that, operator, let's open up the call for questions.
Operator: [Operator Instructions] Your first question from the line of Matthew McConnell of Citi.
Matthew W. McConnell - Citigroup Inc, Research Division: Can you -- just so we have expectations right for 2Q, what's the impact of the completion of that large Dispensing replenishment project? And then what's kind of the flow-through on the profitability? Just what kind of headwind are you up against in the second quarter?
Andrew K. Silvernail: We haven't -- Matt, we haven't broken that out specifically quarter-by-quarter. But to give you a sense of the order in general, it did shift radically throughout last year. You can kind of back in, frankly, to the size of it. We are -- we cannot disclose that, as you know, for contractual reasons. But it did shift essentially radically [ph] throughout last year, and it finished in the first quarter. So -- and Heath, any other color you want to add to that?
Heath A. Mitts: No. What I would say is, at the segment level, Matt, there's enough strength in the other parts of that segment that, while it will have an impact on the top line, I'm not anticipating a big drop-off in terms of margin rate and everything else as we get into Q2, which is generally seasonally stronger anyway from a Dispensing perspective.
Matthew W. McConnell - Citigroup Inc, Research Division: Okay, great. And profitability in the quarter was obviously impressive on no volume. So could you just frame whether you could kind of hit your guidance even if you come in light on the organic revenue for the year? And, I mean, kind of what are some of the levers that you could pull if you don't really see much improvement through the second half of the year in some of your end markets?
Andrew K. Silvernail: Well, Matt, let me first kind of touch on that, because I think the underlying premise to that question is kind of looking at the top line throughout the balance of the year. And if you look at how we believe that the balance of the year will play out, it is not meaningfully different than the normal seasonality that we've seen in any other year. So we are not expecting a big sequential ramp-up of any kind throughout the year. So generally, although the comps will get easier in the second half and, therefore, the growth rates look higher, how the revenue plays out isn't significantly different than we've seen it. So let me just kind of put that to the side. The second part, and then really the direct part of your question, which is our ability to execute on profitability and deliver even if we see some softness, we feel pretty good about that. We took a lot of costs out last year. We felt like we got ahead of the curve on that and in the investments that we're putting back into the business. And we have started those investments. As you recall, in the fourth quarter, we said we were going to put about $17 million incrementally back into investments for growth. We have started those, but we've also said we're going to put them into the year based on our affordability. And so we do have some levers there. But frankly, they're not really levers that we want to use. We want to make the investments in organic growth. So we feel good about our ability to deliver very good margins, and we feel like the plan that we have, even in this continued -- it's a tumultuous environment. We feel like we're in pretty good shape.
Operator: Your next question comes from the line of Scott Graham of Jefferies.
R. Scott Graham - Jefferies & Company, Inc., Research Division: So I wanted to just maybe, if we could kind of bundle health care from both FMT and from HST, what were those -- how did those sales and orders look, even if it's not a specific number? How does your health care business look right now, both sales and orders?
Andrew K. Silvernail: Well, Scott, I think that the first thing I should mention is we call the segment Health & Science, but very little of it actually ends up in health care, right? Very, very little of the business ends up in health care. The vast majority ends up in scientific applications, whether it's in the life sciences world or industrial scientific applications, environmental, et cetera. So -- but that being said, what I would say we're seeing generally is the Life Science businesses have picked up over the last 2 quarters, and we've seen that, we've seen some strength in the order book, we've seen more happening from a new development pipeline perspective. So I think that's generally some pretty good news. I will say that we are hedging that a little bit because the impacts of sequestration, I don't think people know exactly how it's going to play out. The NIH budget just got hit by 4.9% from the sequester. So we'll see how that plays itself throughout the balance of the year. That's just kind of really starting now. But generally, I would say that those trends are positive, Scott.
R. Scott Graham - Jefferies & Company, Inc., Research Division: Okay. You actually did answered my question. When you say Life Sciences, I say health care. I'm talking about everything. All of that sector.
Andrew K. Silvernail: Yes. Actually, Life Sciences has been positive. And I would also say that the scientific side of our businesses generally, on a sequential basis, we're seeing an uptick.
R. Scott Graham - Jefferies & Company, Inc., Research Division: Right. Because both medical equipment and the precision instrumentation guys did see an uptick in the fourth quarter, right? So you're kind of feeling that in the orders right now?
Andrew K. Silvernail: We are, yes.
R. Scott Graham - Jefferies & Company, Inc., Research Division: Okay. On the Fire and Diversified business, could you maybe single out how rescue tools did versus BAND-IT?
Andrew K. Silvernail: Actually, they both did quite well. BAND-IT, as you know, is a book-in-term business, right? That's a business that -- and we keep a pretty close eye on it because it tells you a lot of what's happening in the channels throughout the world. And so BAND-IT had strong book-in-term business. As you know, we had talked about it. We saw some softening in the fourth quarter that had raised our antenna, and then we saw some nice rebounds here in the first quarter. So pretty solid. Rescue has a lot more project-related business. And generally, we saw a couple of good-sized projects. These aren't $10 million and $15 million projects, but they're pretty strong projects. So these are both businesses that were up very solidly, high single digit, low double digit in the quarter.
R. Scott Graham - Jefferies & Company, Inc., Research Division: Okay. All right. Last question, this is kind of maybe a 2-parter. It has to do with your organic growth in the first quarter, which I don't think surprised anybody, to tell you the truth, and you did a great job in still driving the margin. On that, why -- what are the businesses that you would expect that to turn around specifically? And, I mean, maybe just 2 or 3 of the larger ones that will contribute to a turnaround in organic in the second quarter. And secondly, I know you are all about investing a lot of your productivity savings. Was there any of that cut back in the first quarter alone to drive that type of a margin?
Andrew K. Silvernail: No, there really wasn't. Let me tackle your second question first. I think the groups -- I think the teams did a really nice job of balancing the cuts and the builds, so to speak. And so they put cash back in. Now that being said, on a sequential basis, right, more will go in as the year goes on, assuming that we're able to deliver on our expectations. And we've got -- let's be honest. We got a pretty tight leash on it given this environment, and I think that's the right thing to do. So I feel good that we're making the right investments and still being able to deliver profitability. On the profit side itself, we've really seen a few things that have been just outstanding. Obviously, what we've seen in Diversified, what Eric Ashleman and the team there have done has been really strong across their businesses. That's been excellent to see. But at the same time, we're seeing margin expansion across the whole business. So we feel good about that, and people understand that this is an environment of cut and build. The first part of your question, what do we expect to see on a year-over-year basis as we go into the second quarter? The second quarter -- from the middle of the second quarter on last year, there was softening, really up until November and December of last year. So the comps get easier across a lot of the business. The -- I would say, certainly, in Health & Science, the Scientific Fluidics business, that's going to be -- we have some easier comps there. We should see some nice growth rates coming out of there. And we're seeing nice wins happening in that business. So we feel good about that. I think Energy is going to have a decent comp. I think CFP is going to have a decent comp. Those are places where there was softening last year, and we've seen some really nice wins as we go forward. And even in Ag. Ag was a little bit of a -- we're used to, frankly, we're used to the Banjo team knocking our socks off, and they did, again, in sales, but we did see some softness in the first quarter. We expect that to bounce back in the second.
R. Scott Graham - Jefferies & Company, Inc., Research Division: Okay. So nothing extraordinary in any business. You're just looking at an easier comp environment with maybe a more normalized business?
Andrew K. Silvernail: Exactly, exactly.
Heath A. Mitts: Hey, Scott, this is Heath. Let me chime in here. If you recall, we've talked about this through prior earnings calls about our decision to rationalize certain selective product lines within the Optics world. And that enabled us to get after a deeper portion of the Optics cost structure. A lot of those decisions, we start to anniversary here between the first, second and into the early part of the third quarter. So that has a natural pressure on the fact that we had some of that less profitable sales in the first part of 2012 that we've elected to walk away from. And quite honestly, we're enjoying some of the uptick in the profitability because of our ability to do that. So that has a little bit of top line element that, once we get past kind of the mid part of Q3, that goes away. So that's a piece of it. I wouldn't call that market. Those were conscious decisions that we made.
Operator: Your next question comes from the line of Allison Poliniak of Wells Fargo.
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: Just going back to the execution side. I know you guys kept your margin expectation for 2013 the same, and I'm sure there's certainly a range around that. But, I guess, my notes from last quarter suggested that you were exiting at a rate closer to 19%, and we're clearly starting off the year stronger. I mean, how should I think about that for the rest of the year? Is it increased investments, maybe, that could be holding that margin expansion back a little bit?
Andrew K. Silvernail: That's exactly right. Obviously, we beat our expectations for margins in the first quarter, and we feel very good about that, Allison. The -- at the same time, we are going to invest as we go forward. And if we're in a similar situation as we're looking at right now, we're going to make those investments. And so where we are today, we feel pretty good about. Exiting 19%, little north of 19% for the year, I think we feel pretty good about. Heath, anything you can add to that?
Heath A. Mitts: No. I think that's right. In the second quarter, we're going to have a little bit of step-up pressure from the costs associated with some of the FTL asset step-up and bleed-off. But, I mean, in the grand scheme of things for the year, it's a pretty consistent margin forecast for the year. We're not expecting it to bounce around too much.
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: Okay. Perfect. And then just going back to FMT, orders impacted in Q1 by cold weather. Is that the Ag side of things?
Andrew K. Silvernail: Yes, that's just really Ag. And don't get me wrong. It's not like it was a horrible downtick or anything like that. It's just -- this is typically the time of the year we start to see the ramp-up in orders, and I think they got pushed a month or so.
Operator: Your next question comes from the line of Charlie Brady of BMO Capital Markets.
Andrew Breichmanas - BMO Capital Markets Canada: This is Andrew. I'm on for Charlie Brady. The question I was -- on a monthly basis, kind of what was the progression of like sales and orders throughout the quarter? And if you can give any insight into April.
Andrew K. Silvernail: Sure. January started very strong. We saw it coming out of the blocks, and I think as you recall in the fourth quarter, we noted that we saw it come out strong. We did caution that we thought it was a little bit of channel fill coming off of people being kind of tight here in the back of the fourth quarter. February was basically at our expectations, and March weakened a little bit. Not a lot, but a little bit. And that had certainly from -- in terms of us, a red flag, or yellow flag rather, we started to pay attention. I'll say that April is basically early on in line with our expectation, no surprises there. And so we feel pretty good about that. At the same time, April of last year is when things got soft. And so I've been criticized a little bit here for being a little more conservative than some of my other peers on the balance of the year, but until the world demonstrates otherwise, I think that's the prudent thing to do.
Andrew Breichmanas - BMO Capital Markets Canada: All right. Great. And then just kind of wondering what was the exact like fully diluted share count at -- on March 31? And if there's any kind of -- I know you're doing share repurchases and things, what your assumption is for the second quarter?
Andrew K. Silvernail: Mike, you got that? Hold on 1 second, Andrew. I'll talk about the assumption first. I think, generally, what you saw for repurchases in the first quarter plus or minus would be expected, maybe a little bit more slightly. Now that being said, understand that we had a fair amount of redemptions in the first quarter, somewhere in the neighborhood of 400,000 redemptions. That is pretty high for us, and just given what are available to redeem, we know that, that will drop off. So you should see a little bit of net impact relative to what we saw in the first quarter. So 1 second, we'll get you that final number, Andrew. Do you have it, Mike?
Michael John Yates: We used 83,152.
Andrew K. Silvernail: Was that the ending number or the average number?
Michael John Yates: No, that was the average number.
Andrew K. Silvernail: Do you have the ending number, Mike?
Michael John Yates: I do not have that. The ending -- I do not have that.
Andrew K. Silvernail: Andrew, we can get you that ending number. I apologize, I don't have it on hand.
Operator: Your next question comes from the line of Kevin Maczka of BB&T Capital Markets.
Kevin R. Maczka - BB&T Capital Markets, Research Division: Andy, first on the FTL deal, you're going to marry that up with PPE. I'm just wondering if you can talk about the larger opportunity there. How much more opportunity for further consolidation there? And if you can just size kind of what you plan to do, and how far along are you with it now that you've married these 2 units?
Andrew K. Silvernail: You bet, Kevin. We really like that specialty sealing marketplace. The overall global seals business, as you know, is a multi-billion dollar business. And like any industry that IDEX competes in, there's a subsegment of it, usually between 20% and 1/3 of the market, that we fit into the highly engineered really differentiated category. And that's what we're looking at here. So it's an industry that's $1 billion to $2 billion depending upon how you slice it that we think is very interesting. It is highly fragmented. The largest player that we would call as a pure play in there is only $100 million to $200 million. So it is -- it remains fragmented. And so we really like the solution set. And both PP&E and FTL, they really bridge across Health & Science and FMT. If you're honest about it, they sit across them. So we see the ability to continue to acquire in this and to play in the HST and the FMT markets and to build out a nice little business. As you recall, if you've seen some of our Investor Relations presentations, we've kind of called this a platform in waiting, so to speak, just because today, it's -- we have not been able to kind of design out the $500 million platform, but we think it's one that can get there. So obviously, that would be over a long period of time and as opportunities present themselves, but this is a really nice niche market that is IDEX-like, it feeds our existing businesses, it's in related and adjacent markets, tremendous defensibility and nice growth rates, and we really like the space.
Kevin R. Maczka - BB&T Capital Markets, Research Division: Got it. Sounds good. And if I can just nitpick a bit on your '13 guidance as it relates to the acquisition impact that you're saying up 1%. I think before, you were saying up 1.5%. But since you said that, you have, of course, done this FTL deal. Are some of your prior smaller deals that you did within the last year, 1.5 years, maybe not performing as you'd thought? Or, again, am I nitpicking?
Heath A. Mitts: Kevin, this is Heath. It's just rounding as much as anything else. Nothing is underperforming relative to the 2012 acquisitions and the performance that went into the guidance. I think we probably rounded up or down last time and rounded the other direction this time, so...
Andrew K. Silvernail: Yes. I mean, these aren't really big enough to make a meaningful impact.
Operator: [Operator Instructions] Your next question comes from the line of Matt Summerville of KeyBanc.
Matt J. Summerville - KeyBanc Capital Markets Inc., Research Division: I got on the call a little late, so I apologize if this is repetitive. As I look at your organic growth expectations for the second quarter, up 2% to 3%, I look at the incoming order rates, I bear in mind that you have a touch comp in volume in the Fire business coming from Dispensing, can you help me close the loop on all that in terms of how -- I understand you built a little backlog, how the order activity you've seen as of late can kind of translate into that organic growth? And maybe the piece I'm missing is if you back out that one lumpy piece of business in Dispensing, what would Fire orders have looked like?
Andrew K. Silvernail: So let me kind of parse that for a second, Matt. So the -- on the first part, if you look at the backlog that we've built and where the backlog sits in terms of shippability in the second quarter, that gives us comfort in our revenue range here in the second quarter, just kind of given how we're entering the quarter. We had more backlog going into the second quarter of last year, but a lot of that was very specifically related to that Dispensing order. So we feel pretty good about that. Now that being said, as I mentioned before, April was kind of within our expectation. So we feel good in that 2% to 3% range. But let's not -- and I don't think anybody should kid themselves. I believe that certainly in the near term, there's more economic downside than there is economic upside, and that's why we've been cautionary and certainly why we have been aggressive on the cost side. So that's the first part to the -- to your question. Relative to Diversified and the impact of Dispensing, Matt, could you repeat that again? What are you looking for?
Matt J. Summerville - KeyBanc Capital Markets Inc., Research Division: Yes, I'm sorry. If you look at incoming -- if you look at the order number and just back out the big deal you got in Dispensing in both periods, what would orders have looked like in Diversified?
Andrew K. Silvernail: We don't -- I don't think -- Matt, here the issue is we can't break it out specifically, and the reason we can't is we are contractually obligated to not talk about the exact size of that order. And so we just have to be careful. So I think we've given enough information that, frankly, you can do the math on it but -- and keep it within our legal rights. But bottom line is, is that you back out that order and you go from being slightly down in the first quarter to up for the company and certainly for the segment, it is more than 100% of the negative.
Matt J. Summerville - KeyBanc Capital Markets Inc., Research Division: Got it. Okay. That must have been a part that I missed. I apologize.
Andrew K. Silvernail: No problem, Matt. I apologize I can't be more straightforward about that. I hate to do that, but I got to follow the letter of the rules here.
Matt J. Summerville - KeyBanc Capital Markets Inc., Research Division: No, no. That's completely understandable. As we think about your Water platform, it sounded like Europe is -- well, first of all, is Europe still in declining mode? Are you seeing any signs of stability? And what, if anything, is kind of changed in the U.S.? And, I guess, just bigger picture, what's your outlook for that platform within FMT?
Andrew K. Silvernail: So if you don't mind, let me touch on that broader, because I think Europe in general is getting a lot of press and should get a lot of press. Far and away, the weakest thing that we're seeing out there and was certainly negative in the quarter for us, and that's playing off really across our businesses with really kind of one exception, and that's our Chemical business that's based out of Germany, which is our Richter business, which is actually seeing really nice growth. But that's mostly coming from export-related business. So if you normalize for that, what I would say is that it's certainly down for FMT and down for the company. And I am pessimistic for the balance of the year about that changing. Now the comps get easier, because as you know, things started getting tough about this time last year on a relative basis in Europe.
Operator: Your next question comes from the line of Nathan Jones of Stifel.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Andy, you talked earlier about the growth investments being a potential lever that you could pull but one that you wouldn't want to pull. Is there a point where you would pull that, where you would sacrifice the growth investments to maintain the margin for the year?
Andrew K. Silvernail: I would only do that if I saw there being a precipitous drop in the overall environment. Nathan, unless we see that happening -- and that would really be frankly because we think that this is a step change, not because of a short-term solution. I just -- I don't buy into that. I don't think that's a good idea. These investments, as I said in the last quarter call, you guys aren't going to see any benefit from these for a year. It takes -- it just takes time. And so we've got to give ourselves the air cover. I think by being as aggressive as we were on costs last year, we've given ourselves enough air cover to still deliver on our expectations even in this muddled environment and still make those investments. So the only way I'd really back off is if we saw a meaningful change in trajectory.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Okay. I would think with the free cash flow generation, you're probably -- there's no need to hang onto the cash. When you say free cash flow significantly above net income, are you prepared to give us any guidance on what you expect for free cash flow for the year?
Andrew K. Silvernail: We don't really do that. Frankly, you can back into it, taking a look at amortization and take our $40 million depreciation number, and you can get back into it pretty closely.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Okay. If I could get into a couple of the platforms, particularly Banjo, I know that's been a great performer over the last few years. There are plenty of other companies that I cover that are warning about potential negative comps in the second half of the year with, particularly, the dramatic decrease in crop prices recently. What gives you confidence that Banjo is going to rebound from that soft first quarter?
Andrew K. Silvernail: So you're talking about the slippage in overall corn prices?
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Yes.
Andrew K. Silvernail: First of all, the -- unless something really, really significantly changes, that buildout, and I'll call it the allocation that's coming out from the end users, is pretty strong. So there would have to be something that really meaningfully changes for that to happen, I believe. The second part is, is while we've seen a drop, it's still a pretty economic price for these guys to work at. So we're not awfully concerned about that. The last thing is, is that the impact of the drought from last year, the amount of land that has to be planted to close the overall stock gaps, is pretty high. So by the way, we're not planning for the double-digit growth that we've experienced in the last 2 or 3 years. We're planning for pretty solid single-digit growth there. So just to -- I want to calibrate what our expectations are. We are expecting growth to slow, we are not expecting it to go negative.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And you also called out strong orders in Scientific Fluidics. Could you give a little bit more color on where that's coming from?
Andrew K. Silvernail: Really, the analytical instrument business. So we're starting to see some of that rebound coming from that -- those end markets. As you know, our model here and really across the whole business is to gain high-value content. And so we're seeing a couple of things happening. Number one, we are seeing some market rebound, which I think our customers have seen in the last couple of quarters. And also, we've had some nice share wins on some instruments that are going out. So pretty solid across both -- I'd say a little bit of a market rebound and some wins on our side.
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And one last one for me. I think, in the past, you've been willing to kind of give us above, in line, below on each of the segments relative to your overall guidance in the quarter. If you could just give that again.
Andrew K. Silvernail: Not sure. You mean in terms of kind of how we performed relative to our expectations?
Nathan Jones - Stifel, Nicolaus & Co., Inc., Research Division: No. On the 2Q guidance, you said 2% to 3% organic growth. You've historically been willing to say HST will be in line, FMT will be a little bit higher, that kind of stuff.
Heath A. Mitts: Oh I see what you're saying. Got it. Got it. Here's what I would say is -- this is Heath, Nathan. In general, we're expecting FMT to be above Health & Science, again, still comping off of some difficult comps with the business we walked away from, and Optics will be a little bit below, and FSD will be in line, maybe a tad below. It has a big comp in that order, yes.
Operator: Your next question comes from the line of Andy Noorigian of Vertical Research Partners.
Andrew Noorigian - Vertical Research Partners, LLC: I wanted to follow up on a comment you made about strength in Richter in Germany. It sounds like some of your competitors over there are talking about some pretty concerted efforts to get into the chemicals market. I was wondering if you're seeing anything competitively there? Any pricing dynamics in general at Richter?
Andrew K. Silvernail: No. On a pricing, generally, you got to remember kind of where we sit in the food chain. We really sit in specialty applications. We're not in big iron. We're not in large project quotes, et cetera. So our positioning is very IDEX-like in terms of where we sit, in terms of the value that we add and -- versus price. So we feel pretty good about that. The wins that we're getting are in multi-year projects that we've been working for an awfully long time. And we're seeing nice wins out of the Middle East, nice wins out of Asia, generally. What we have set up and put people on the ground, certainly, in the Middle East, we've increased our exposure in terms of number of commercial folk sales and applications. And in China, as you know, we basically put a standalone Richter business unit. We consolidated from a plant they had previous to our acquisition of Richter, and we consolidated down into our Suzhou operation and set up a wholly-owned subsidiary, and that's really been hugely successful. So I feel pretty good that -- where we sit in terms of our defensibility and the fact that these are long-term things that are coming to gestation today, I feel pretty confident about it.
Andrew Noorigian - Vertical Research Partners, LLC: Great. And then just on capital allocation, maybe comment on the deal pipeline, what you see after FTL? And kind of by end market, where you're focused and the valuations you're seeing?
Andrew K. Silvernail: No real change from what we've talked about the last 2 or 3 quarters. What I would say is that the things that are large and reasonably -- of reasonable quality, we're still seeing what I think are irrational valuations on a lot of those properties and deals that I think folks are going to have an awfully hard time getting an acceptable long-term return on capital. And I guess what I mean by that is, as you know, ours are 12 and 15 in years 3 and years 5. And I think, again, the low growth and the cheap money continues to fuel that end of the spectrum. That being said, the stuff in the small to middle market, so $20 million to $250 million of enterprise value, it's still pretty attractive. And we're seeing a scope or a series of opportunities in both FMT and HST that are funnels -- what I would say is they look very consistent. They look decent compared to what we've seen for a while. I do think that we've all got to keep kind of our eyes out for how much stuff is sitting within private equity funds, which both have to come out and the money that has to go to work. And while there's certainly opportunities on both sides of that, you've got to be careful.
Operator: Your next question comes from the line of Scott Graham of Jefferies.
R. Scott Graham - Jefferies & Company, Inc., Research Division: One question for you guys on the comp, and I'll be done. In FSD, correct me if I'm wrong, we've had some pretty strong growth there because of the program, the shipments under the program. Doesn't that comp get much more difficult in these next 3 quarters? And wouldn't that put FSD a good standard deviation below the other 2 businesses?
Andrew K. Silvernail: It does, Scott. I'll let Heath chime in on this, too. At the same time, we've seen really, really nice performance from the balance of the segment. So when you look at Fire, team has done a terrific job of entering into the power market and into Asia. Rescue has continued to leverage its global footprint. And BAND-IT, they keep chopping wood. I mean, they just do a great job time and again. So yes, on a comparative basis, the comps get tougher, so nobody should walk away thinking that comps don't get tougher for the business. But also recall that we took a whole lot of cost out in a number of places in that segment last year. So while we're giving up some pretty attractive margin from the replenishment order and whatnot, we'll fight it back, and we still have some pretty decent confidence in the margin profile. And Heath, anything you want to say?
Heath A. Mitts: No, I think that's right. I was just going to touch on, for the year, Scott, when we look at FSD, organically, it's up modestly, obviously getting the benefit of some Q1, a stronger Q1 performance. But on a margin basis, we'd still expect margin expansion there. Across the board, we've seen good activity, both on the new product side, X-SMART that Andy mentioned in his prepared remarks as well as some help within Dispensing and North America's partial recovery, I would say. And then Fire Suppression, rescue and BAND-IT are all growing nicely.
Operator: There are no further questions at this time. Gentlemen, do you have any closing remarks?
Andrew K. Silvernail: Yes. Just a couple of things. First, Andrew, I got that number for you here on the share -- the ending share count. It was 82,647,588, so that was the ending share count. So that's -- how's that for rapid response? So with that, just in conclusion. First of all, thank you, all, again for participating in the call and for being supporters and interested in IDEX. We think we've got something very special here, and we think -- I guess, first I'd say is the team is doing a great job of executing in this environment. And I'm very proud of them, and I'm thrilled with that aspect of what we've got going on. And we're making the investments. The execution is allowing us to make the investments in people and in growth that, while I don't expect it to play out in the near term, I think are going to be major benefits to us as we go forward. And then finally, we are seeing some sequential improvements. We did a lot of hard work here in 2012, and we're seeing some of that. And we promised to you, and we're starting to deliver on that expectations, and we think we will for the balance of the year, assuming that the environment holds in essentially as it is today. So again, I appreciate your time and look forward to talking with you in the second quarter. Take care.
Operator: This concludes today's conference call. You may now disconnect.